Peter Jackson: Good morning, everyone, and thanks for joining us. I'm here with Jonathan to answer your questions following our announcement this morning. Hopefully, you've all had a chance to watch the presentation that we published on our website this morning. I won't repeat what has been said there but will just make a few opening comments. 2020 was a remarkable year for Flutter. We completed our merger with The Stars Group in May. And in December, we accelerated our buyout of the minority shareholders in FanDuel, something we are very keen to do given the scale of the opportunity we see in North America. I'm pleased to say that our business is performing very well. The growth we are delivering is being built on sustainable foundations with significant recreational customer growth in all our key regions. Throughout 2020, our average monthly online players grew 19%, with that growth accelerating during the year. Average player growth globally was 32% in H2. Merger integration continues to progress well. You will have seen that we have upgraded our cost synergy guidance this morning. As we said before, our #1 priority is ensuring that the momentum in the business is not negatively impacted by integration work, but I'm pleased to have been able to identify further efficiencies whilst maintaining strong momentum. While performance in all of our regions has been strong, our ongoing leadership position in the U.S. is particularly encouraging. We now believe the U.S. market opportunity will be materially bigger than we previously estimated with a TAM of $20 billion by 2025, while the returns profile we've highlighted this morning clearly shows the embedded value we're building in that business. 2021 has started well. And while our retail business is still being impacted by COVID-related closures, the strong underlying momentum in our online businesses is expected to offset this. And with that, I'll open it up for questions.
Operator: [Operator Instructions] Your first question is coming from Ed Young of Morgan Stanley.
EdYoung: The first one is on your triple-step responsible gaming measures. I'm very struck by what you've done there. I guess my question is, is that on a global basis? Or is that largely in your legacy markets? In a way, your tech platform is really across the U.S., and maybe that explains some of it. But are there any differences between your responsible gambling measures and steps across your global businesses, particularly regarding the U.S. given player values and spend are basically so high there relative to some of the other markets? And then my second question is around the buyout of the FanDuel minorities. My understanding when that was done originally was that the exercise in the summer will continue to be a fair market value exercise. Obviously, since then, FOX said that they'd be able to exercise the option at last private mark. So can you give a view on how you think that process is going to go in the summer? And if possible, I can add on a Part B, your sort of general view on the FOX assets, a lot of discussion about FanDuel, FanDuel brand, FanDuel returns. Any comment on the returns you're seeing in FOX in the U.S.?
Peter Jackson: Thanks, Ed. Look, I might just take them in reverse order. Look, we're pleased with the way that the Super 6 asset has performed. With nearly 4.5 million customers on that platform, it's clearly going to be a very valuable database for us to cross-sell into. Yes, I've talked in the past of some of the struggles we're having with the quality of the product for FOX Bet, which is something which is definitely hampering the ability for that business to get the traction it needs. And it's a really good reminder for us of what it's like to be one of the subscale operators in America and -- because we sometimes forget the difficulties they face when we look at the fantastic results that the FanDuel business is delivering as the #1 player there in that market. In terms of the mechanism for dealing with FOX and why we negotiated with them as part of the purchase or the deal we did with The Stars Group, we haven't put anything formal in place at this moment, but we will honor our commitment to give FOX an option to acquire 18.6% of FanDuel at fair market value in July 2021. To be clear on the valuation, FOX will have to pay the fair market value, which is different from the negotiated price agreed between Flutter and Fastball, which reflected the specific circumstances that Fastball found itself in. The valuation will be carried out in the same manner that would have occurred had Fastball still owned the stake. And as a reminder for those of you, 2 banks will value the business. And if the valuations are within a narrow enough range, the average of the 2 will be taken. And in the event there's a wide disparity between the 2 valuations, a third valuer who is nominated and agreed by ourselves and FOX will value the assets, and whichever the first 2 valuations is further away from the third will be discarded. And then an average of the 2 remaining valuations will be taken. So that's the mechanism we'll use. In terms of your first question, look, we think that this approach we're taking to the triple-step around affordability is important. And it's an important component of the race to the top that we're trying to engineer here in the U.K. from a safer gambling perspective. We aren't just confining ourselves to thinking about safer gambling in the U.K. there. You'll have seen, I'm sure, the recent announcements around the changes that we've made in the Irish market with regards to credit cards as well as the restrictions on advertising. We've decided to do that on a lateral basis, even without getting agreement from the other operators in the market. And safer gambling is something that's very important to us across the market, whether that's in Sportsbet in Australia or indeed in FanDuel in the U.S.
Ed Young: Very clear on FOX. Just a follow-up on the responsible gambling ones. Could you give us any kind of color about where the current framework sits versus the U.K. or global market or what ambitions you have to align it? Or is it just not as appropriate at this stage of the market? Or is there any restriction in terms of technology? Just in terms of your ambition for where you'd like to get it to and on what sort of time line would be very useful.
Peter Jackson: Yes. Look, there are no sort of restrictions from a technology perspective. But what I would say is that the context of the framework whereby we assess customers when they join us, then we have some ongoing extensive monitoring of our online customers and then have some interactions to help support customers is something which is used for us all around the world. And actually, we published some stats today. You can see that 40% of our Sky Bet customers, for example, already have a deposit limit in place. And within the Paddy Power and Betfair brands, customers had interactions and then went on to put in place sort of deposit limits or sort of timeout on the account. So we believe the approach we’re taking is working, and we’ll – I’m sure we’ll find ways to continue to improve it in time, but we’re pleased with it. It’s helping support customers at this time.
Operator: Your next question is coming from Gavin Kelleher of Goodbody.
Gavin Kelleher: Just on the U.S., could you give any comment around CPAs and how they're trending in H2 and into this year? Any comments on CPAs in the U.S.? That's my first question. My second question relates to the percentage of net revenue going through cost of goods sold in the U.S. Obviously very high or much higher year-on-year at 46% in 2020. I presume that's a function of the high -- the relationship between net revenue and gross and then Pennsylvania making up a much bigger mix of the U.S. business in 2020. Could you just give us any sort of flavor on how you expect that to trend in '21 and '22 based on the states that you're seeing likely to launch in those years?
Peter Jackson: Yes, Gavin. So look, in terms of the sort of CPA data, look, we're very pleased with the way that the business is performing. I mean clearly, we've had a terrific start to 2021. We outlined the results that we saw around the Super Bowl to acquire 350,000 customers in that week, which is more than we acquired in the preceding year. It was something which we're delighted about. And I think the -- for us, the fact that we continue to see such strong growth from some of our existing early states, and it really gives us excitement about how big the opportunity can become for us. I'll let Jonathan pick up on the points around net revenue in the U.S., but there's sort of mixed effects going on over there.
Jonathan Hill : Yes. I mean the only point I'd add to Peter's comment is we're not obsessing about CPAs. What we're obsessing about is CPA relative to LTV. And as we see -- we talked about the retention rates being 80% better than we see elsewhere in the world. That really does drive LTV. And therefore, we're really happy with the LTV to CPA equation and those sort of paybacks. So -- and in states where there's greater products in terms of both sports betting and gaming, you're happy to see your CPAs go higher because your LTVs are higher. So I think that's the critical point for us, is about payback. On the second point, which is around cost of goods sold, I mean, obviously, you get much higher cost of goods sold in terms of sports and casino with market access fees plus particularly taxes than you do on DFS. So as you see the mix going away from DFS towards sports and casino, you see that going up. You also see that some of these taxes are paid on GGR. So where we've got higher level of bonusing, particularly as states start up, you also see a boosted level. I mean I think we'll just see what happens with the mix as we go through this year. But certainly, I think 2019 is less representative than 2020 in terms of cost of sales -- cost of goods sold. So I'd probably look at 2020 as being a better proxy than 2019, that's for sure.
Operator: Your next question is coming from the line of Michael Mitchell of Davy.
Michael Mitchell : Two in the U.S., if I could. First of all, just in terms of product. And clearly, the importance of product leadership in the U.S. is becoming more apparent, both at market level, I guess, and your own numbers this morning in terms of share gains and customer retention. I just wondered, could you comment on how your current U.S. product compares to an average European product in terms of features, breadth of markets, et cetera, and really what kind of the near-term or the 2021 pipeline looks like from kind of a product release perspective? That's my first question. And then second of all, on your DFS activations, clearly, still the key component of the customer acquisition funnel. I wonder, when you think about the reactivation since the return of sports, I wonder, could just provide some color in terms of how the DFS customer base is evolving when you consider across states that already have live sports betting markets versus those to come in the future?
Peter Jackson: Michael, look, from a product perspective, I think for those of you who are familiar with one of our products here in the U.K. or Ireland, I think you'd be surprised when you saw the product we have in the States. I think it is pretty well positioned. There's clearly more to do, but we're pleased with the way in which we've managed to sort of integrate things like Same Game Parlay into the product rather than -- because we have owned that product, it's fully built into the customer experience rather than sort of hanging out in the side, which often happens if you acquire this stuff from third parties. There is -- there's definitely some more work we need to do from a casino perspective, and we have the best casino product in the world as a result of the acquisition of The Stars Group. We're really pleased with that casino platform. And so we'll be able to improve the casino products in the U.S., which, as you will have seen from our results, is an important component of the U.S. market. And I think we've been really pleased and surprised actually at the extent to which we've been able to drive cross-sell in the U.S. market around the casino. There's a lot -- there's more to do around sports and casino. The fact that we're getting the business onto our own tech end-to-end, and it will be fully there by this coming football season, is something which will really help us accelerate our journey. And as a reminder for you, whilst we are running the business on our own global betting platform, the U.S. team have their own version of it. So they're able to make their own perspective elements to suit their markets, but they can steal with pride from other divisions as well, which we think gives us really a powerful platform for driving fast innovation across the business. In terms of DFS, your point around DFS aspiration, I haven't got the stats. And Jonathan may know in terms of the differential between the performance of the DFS sourced customers after the return to sport as opposed to the sort of new to franchise ones. I'm not aware of any differences off the top of my head. But one thing I would point out is we've actually been really pleased at the way in which we've been able to continue to grow and acquire customers onto the DFS platform. Our hypothesis when we acquired FanDuel is while we see good growth in sports betting, we didn't think we'd be able to sort of maintain the contribution, indeed, to customer numbers around DFS. But that -- we've been really, really pleased with the way that, that business has continued to perform. And of course, today, it still actually is a very, very significant source of customers for us from a -- in the states where we're live and allows us to attract and acquire customers to the FanDuel brand in states in advance of them regulating.
Operator: Your next call is coming from James Rowland Clark of Barclays.
James Rowland Clark: I just wondered if I could follow up on the space for gambling measures question from that earlier. In your presentation, you said 40% of PPB customers have signed up to those measures. Is that a high number for the U.K.? I assume it is. And do you have any targets about where you'll get to on those measures by the end of this year? And a sort of follow-up would be at what point -- or maybe you could remind us at what point you substantially put those measures in place for PPB customers. And then my second question is on the U.S. DraftKings said the other day that they're seeing about 50% cross-sell from sports betting to iGaming in their core state. Please, could you update what yours is? And is that an area that you can improve? And you're obviously holding sports betting market share at a very high level, but your iGaming share has slightly fallen.
Peter Jackson: Yes. Thanks, James. Look, to be -- I think just to make sure I'm sort of clear about the points I made with Ed earlier. In the Sky Bet business, 40% of revenues are coming from customers with deposit limits in place, which we're really pleased with. But it's an ongoing journey for us. So the extent to which we can encourage more customers to put those limits in place, I think that would be a good thing. Through this COVID situation, we've had to be pretty nimble and change the way in which we monitor and assess customers. And there've been new guidelines from the Gambling Commission, which we've made sure we've adhered to. I think for us, what's really, really reassuring is that the Sky Bet and Paddy Power brands are actually very, very recreationally focused. So typically, something like the Paddy Power brand, you'd be seeing customer spending of GBP 10 a week or the Sky Bet brands. And that's what I mean by sort of recreational. And I think those customers, clearly, the extent to which we can ensure they avail of our tools, we'll encourage them to do so. But if we ever get any sniff of them having any problems, we'll force them to do so. So we don't have specific targets. It's something that we're sort of thoughtful about, particularly around different age profiles of people. But we will continue to evolve and use data to help us assess how best to position ourselves. Jonathan, do you want to pick up on the -- in terms of cross-sell rates, I know that DK referred to sort of 50% general cross-sell rate in their Q4 disclosure, and we'd be seeing something very similar to that across our business. So no discernible difference at all in those cross-sell rates.
James Rowland Clark: So just a follow-up on the safe gambling point, Peter. So it's your sense that anyone that's not recreational is already signed up to SG measures or the SG tools of some sort in the U.K.?
Peter Jackson: Look, we’ve got very extensive checks on customers, whether that’s source of funds – there’s lots of enhanced diligence we do on sort of higher staking customers, and I’ll be surprised for the customers who we’ve got – we haven’t had those checks. I mean ultimately, I think it’s important that there are some backstops in place to make sure we capture any customers who are spending too much. And that’s, as you know, the third part of our affordability triple-step. So there may be some exceptions, but we will learn from those as we pick them up through the third part of our affordability triple-step.
Operator: Your next question is coming from Simon Davies of Deutsche Bank.
Simon Davies: Firstly, obviously, you reported a very strong start to the year. Can you give a rough view as to how much of that is down to abnormal gross win margins? That's my first.
Peter Jackson: Do you have any more questions, Simon?
Simon Davies: Yes. Could you also give a feel for the market share in Michigan, how that's performing and how you see that as a benchmark in terms of market share on newly opening states?
Peter Jackson: In terms of the strong start, I mean, it's fair to say that most of -- the majority of this is driven by customer growth, again, continuing on from Q4. And we talked about some of the enhanced investments we have put into the business in specific areas to drive customer growth. So you should expect that the majority of that comes from that recreational customer growth. There is also a smaller element which is down to results. I'm not going to comment too specifically on results on a 7-week period, but the majority of it is down to customer growth.
Simon Davies: Great. And the market share number?
Peter Jackson: I mean I won't comment on specific market shares in -- on a sort of state-by-state basis. But I'd say we're very pleased with our opening position in Michigan. I mean we've only traded there recently, but the business is doing really well.
Operator: Your next question is coming from Richard Stuber of Numis.
Richard Stuber : Two questions for me, both on the U.S., please. I think on the presentation, you were talking about how you wanted to sort of improve from podium positions to sort of gold medal positions and particularly in the U.S. Given you've got sort of 40% share in sports betting and 20% share in iGaming at the moment, what do you consider to be the sort of leading market shares, which you need to keep in order to sort of keep that position? I think in the past, you've mentioned that you expect some of those market shares to fall back a little bit. And the second question is I was wondering whether you can give any sort of color around difference of customer spending behaviors across different states, where you're entering in terms of spend per head and sort of duration on your app and that type of thing. Any color on any sort of differences would be great.
Peter Jackson: Richard. Look, I mean, from a -- I'm pleased that someone watched the presentation. I thought it might have just been my mom. But look, the -- it is true. We are sort of refining our ambition in America from wanting to have a podium position to sort of being on that top spot, the gold medal. We have got that at the moment. Let's be really clear. We are #1 in America. And I think to have been able to post a year where our revenues were 1.4x that of our next competitor, and in fact, we're the -- we're greater than players 2 and 3 combined gives us a comfortable top step position on the podium or gold medal. So look -- and we'd like to stay there. How that sort of evolves in terms of the market shares that we need to have from a sports and gaming perspective, we'll see. I think as you know we've never necessarily targeted an absolute percentage sort of market share figure in either sports or gaming. But what we're trying to do is to acquire as much business as we can at very specific and good CPAs. We think we have real advantage around the quality of our DFS business for cross-selling, which gives us customer acquisition advantages, and we think the quality of our products is really helping drive improved levels of retention on the business. And all those things, together with better-than-expected levels of cross-selling to gaming, have led us to having higher customer value than we anticipated. So that gives us the confidence and conviction to keep investing hard in customer acquisition. And you can see the results of that with the figures we released around the Super Bowl. Jonathan, I don't know whether you want to give some color on the different states, but they are all a little bit different with different partners. And that means you get different starting points with them.
Jonathan Hill: Yes. I mean I think a couple of points on that. Obviously, there’s different spend rates depending on the products that are on offer, depending on the GDP per state. And obviously, some of the wealthier states, we’re seeing greater spend. I think the one thing we’re seeing, I think, possibly because there’s more marketing dollars going into each state, is an acceleration of the speed of uptick. And actually, in the early states, it’s much slower than certainly what we’ve seen in the most recent states of Virginia and Michigan. So I think the adoption curve is getting steeper, and we intend to be there at the start and investing aggressively to build those leading positions. I mean I think it’s fair to say when we first came out with the numbers, with a market share of around 40% in sports betting, we said, I think 2 years ago, we expect this to fall back. I think we said the same thing a year ago. So look, we’ll hold on as long as we can to this position, but we just want to be ahead of the next competitor. I think just coming back, sorry, to the previous question. In Michigan, I think we are #1 with about 28% of handle. Just to come back on that one. So look, I think we’re very pleased with where we are. It’s a state-by-state battle, and we’ll pick and choose our fights very carefully and make sure that overall, we remain – try to remain #1 in that market.
Operator: [Operator Instructions] Your next question is coming from the line of Joe Thomas of HSBC.
Joe Thomas: Just a couple of questions, please, on the regulatory side of things. One is Germany and the mention you make about the potential turnover tax there. I just wanted to understand if that had any sort of mitigating actions in it and what mitigating actions might look like in response to such taxes were they imposed with [HMUs] -- or frankly elsewhere. And the second thing was just mindful again of this affordability issue. I'm just wondering if there's anything you can help us with in terms of the skew of sports betting customers, sports betting towards particularly higher spending elements. I mean it's -- in the industry, it's obviously skewed -- gaming is skewed towards higher spending elements. I'm just wondering to what extent that's also reflected in sports.
Peter Jackson: Jonathan, do you want to take Joe's first?
Jonathan Hill: Yes. I mean in terms of Germany, there's a range of actions we need to take. First of all, we'll continue our lobbying efforts in advance of the decisions around, I think, 1st of July timing. We're not overly hopeful that we can change this because, obviously, the tax is greater than the revenue generated. We need to be very careful in understanding exactly how this is defined when it's put into legislation to really understand precisely what the tax relates to. And we also need to look very carefully at the different products, which we have within our portfolio, the different poker products we've got for tournaments versus just the live games, and obviously then consider whether there's ways to mitigate that. The issue, I think, Joe, becomes where we got an offshore competitor who will offer greater value to competitors. So any of our mitigating actions will have to be put into that context. And I think we already see some shift in player activity when one looks at Google Searches offshore, and we would expect that to grow reasonably exponentially as if this tax were to come in.
Peter Jackson: And Joe, look, in terms of your sort of questions around sort of affordability and the skew, we clearly, with Paddy Power and Sky Bet, have the 2 market leaders from a recreational perspective in the U.K. from a sports betting perspective, which we think sets us up really well in the U.K. market. And we’re really pleased with the way in which those businesses continue to take share in 2020. And indeed, you just need to look at what happened with the customers who are migrating from retail to online. These are customers who are habitual pretty small stake in customers. We do have 5% of the shops with the Paddy Power brand, but we believe we captured 40% of that business when those customers went online. And we think there’s a better value. Things like generosity that we offer to those customers will keep them on our platform even when shops reopen. So yes, I think we are a very recreational business. It’s true in the U.K. and as it is in Australia with our Sportsbet business. And I think that’s an important area of focus for us to keep growing those average monthly players. And that’s why we shared the figures with you and why we’re so pleased with the performance that we saw in last year. And as Jonathan shared to you, that’s what’s driving this year’s performance as well.
Operator: Your next question is coming from James Wheatcroft of Jefferies.
James Wheatcroft: Given the scale and the scope of the U.S. business, what prospects are there perhaps potentially for a dual listing in the U.S.? Are there any circumstances when you would consider spinning out the FanDuel business firstly? And secondly, in terms of U.K. regulation, do you have any thoughts on the sort of direction of travel and maybe the timetable for the current review, please?
Peter Jackson: James, look, in terms of – your last question, the point around the timetable in the U.K. I mean we’re all aware of what – the government has published a timetable. I don’t know whether the sort of ongoing COVID pandemic will potentially sort of derail it or not. But we’re preparing to sort of submit all of our evidence of them. And yes, I think we’re really pleased with the approach that the government seems to be taking around this evidence-led approach. And we’ll do everything we can to engage with them and share with them the insights that we get from what’s, frankly, a very good ability to sort of review what’s going on across the U.K. market. In terms of the U.S., look, as you say, the scale and scope of our U.S. business is very impressive. We believe we have the premium asset in the U.S. market, and we’re very proud of that. We’ve worked hard over the last few years to build out that capability. And we are #1 in America. And there’s not many British businesses that can state that. And I think, look, the way in which we’ve been able to build out those capabilities in America is by really leveraging a lot of our group capabilities to support Americas. It’s not just the funding that we’ve been able to get to the team in FanDuel, which has obviously been a very important component of our ability to drive customer acquisition hard. Hundreds of our colleagues from around the world has helped support and build out and develop the FanDuel business, whether that’s with expertise and the sort of sports betting from a marketing standpoint or the fact that we’re sort of using our global risk and trading capability, which has got sort of 650 people pricing product globally, which is a very important component of why we have the best products in America. I mean the point I’d also highlight is the Americans are leveraging our global betting platform, which is a very important aspect of our strategy. The fact that we have many divisions using the same platform, which allows us to sort of share development across the group but at the same time also push decision-making down close to the customer, I think, is really important for us.
Operator: Your next question is coming from the line of Kiranjot Grewal of Bank of America.
Kiranjot Grewal: Just 2 questions from me. Firstly, could we get a little bit more color on the performance of the other U.S. brands from the FOX and the TVG and how they've done over 2020? How valuable has that cross-sell been between the brands? And then secondly, Australia is performing incredibly well despite pure lockdown restrictions. Should we be thinking of more resilient performance in Australia versus that, that was being guided towards the end of 2020?
Peter Jackson: Yes. Look, I commented on FOX earlier in terms of how pleased we are with the way in which we’ve acquired so many new customers onto the Super 6 platform. And I think that’s been a very important sort of component of that business and will set up that business well for the future. To have nearly 4.5 million actives on the Super 6 is tremendous. Look, the TVG business has performed well during the course of the year. We benefited from the shift of a lot of business from retail to online, and that’s helped grow that business very successfully. And we’re really pleased with the market share performance of that business. It’s not yet integrated fully into the FanDuel ecosystem. As and when it is, I think we’ll believe – we believe that we’ll get some contiguous cross-selling benefits from it. But at the moment, that’s more sort of tangential. In Australia, you’re right to highlight the fact that they’ve come out of this lockdown ahead of the rest of the world. And we’re watching very carefully what happens as customers there are able to go back and enjoy some of the sort of channels that they weren’t able to previously, most particularly sort of retail. Early evidence seems to be that customers are enjoying the generosity and superior product that they’re getting on the Sportsbet business. Undoubtedly, there’s going to be some shift in spend away from wagering into other forms of leisure activity. But we’re really pleased with the way in which the Australian team performed in 2020. And to have migrated the BetEasy business in less than 90 days is incredible under full lockdown. And the way in which the business is currently trading, we’re very comfortable with. And the only point to add on FOX is obviously those 4.4 million are spread across the U.S. in a lot of states. So we can only mine that base in terms of sports betting in the states in which FOX Bet is live. So that restricts the ability to cross-sell at this point. But obviously, it’s a great funnel, but it’s a relatively long-term funnel.
Operator: Your next question is coming from Christine Zhou of RBC.
Christine Zhou: I have a couple of questions on the U.S. as well, if I may. Firstly, you mentioned in the presentation that you're refining your state opening playbook. So I just wondered if that changed at all recently? Any surprises or learnings from recent openings? Or is it [Mich]? And you alluded earlier to the quicker adoption in later state. Is it Mich ? Or is there anything else as well? And my second question is just regarding the 1.8x retention rate in the U.S. versus the U.K. I suppose as the market matures and other players probably improve their product, do you think that there are any structural reasons why U.S. consumers might be stickier in the longer term than European counterparts? And I guess -- I suppose I'm referring to more outside FanDuel specific positive in terms of keeping customers engaged.
Jonathan Hill: Look, in terms of your point about refining the reference made to refining states opening, look, we think we're getting better at it. The more we practice, the better we get, whether that's with opportunities to try to pre-register customers or make sure that we have all the rights of local influencers and partners signed up to make a splash when we go live. Those are all things that -- which are important components of our strategy. Clearly, we're not going to give away too many of our trade secrets. But we think that as time has gone by, we've got better and better launching live in states. In fact, the fact that we own our platform end-to-end allows us to offer differential opportunities and deals for customers. And some of the sort of Spread the Love campaigns and things have been very successful for us as times gone by in new state openings. And obviously, the only thing to add there is we are looking at making improvements to our products and platform over 2021 we'd expect to be have migrated across from IGT onto the global betting platform by the start of the next NFL season, which will give us greater depth of markets, greater resilience, greater speed for the customers. And on top of the new account and wallet, which is launched in 2020, we think that will set us up to hopefully be able to prosecute our advantage in terms of product on the sports betting side, and Peter has referred to some improvements that we'll be making on the casino side.
Peter Jackson: Yes. And then look, in terms of the differential performance we see from a retention perspective, the market is pretty well competed already. I mean I don’t think there’s anyone who’s operating in America who hasn’t gone out aggressively and said they want to sort of take a bit of market share and people are throwing a lot of promotional generosity around. So it is well competed. I think the one major difference in the U.S. compared with what we’ve seen in a lot of markets in Europe, there a number of sort of hoops and hurdles you have to get through from a registration perspective. And people are having to supply their social security details, which we think could lead to people having a smaller number. So active customers having a smaller number of products than we see in other markets. And so that may be one of the things that’s helping improve and drive the retention rates. But I think the biggest impact actually is that we’ve got the best products in the market. And what we’ve seen time and time again, whether that’s with our business in Sky Bet or Sportsbet or the changes we’ve seen in Paddy Power, indeed, the investments we’re putting into PokerStars is you’ve got to have the best product in the market. And we think we’ve got the best products in the market with FanDuel. The Same Game Parlay product is pretty unique in the market, certainly the way it’s integrated. We’ve got the best breadth and depth of products. We’ve been operating a couple of – we’re now operating 2 states on a full end-to-end tech stack, which gives us much bigger sort of resilience and advantages compared to using third parties. And so we think all those things are important components to sort of continue to drive the retention rates as high as they are.
Operator: Your next question is coming from Ivor Jones of Peel Hunt.
Ivor Jones Peel: I just wanted to ask about the implications for the Exchange of what you said about the international business, taking PokerStars as its principal brand. Obviously, Exchange didn't grow nearly as strongly in sports in the second half of last year. Is this a legacy product now in runoff globally to be overtaken by fixed-odds betting? How important is the international part of that, the ex U.K. part of that? And secondly, is it possible to have a gold medal position in Australia if it doesn't own [Catco] wagering business? And what are the implications for the group if a more capable international business does own that Catco business in the future?
Peter Jackson : Look, it's a good question around the impact on the Exchange. There are some technical reasons why the growth is a bit slower in the second half of the year. But the fact that we are focusing on the PokerStars brand in international markets doesn't mean that we are not going to continue to push Betfair where it's appropriate to do so. I think we referenced in the presentation that whether that's sort of Latin America or Spain, the Betfair business has some good traction, and we'll continue to use it there. I see no reason why we can't continue to invest into the Exchange business, and it's something that we are doing right now. And there's some enhancements that are due to be launched to improve the quality of the product on the Exchange, which frankly has lagged behind a little bit. And I think if we look at the -- if we actually stripped out some of the switch-offs we've undertaken in the Exchange in the prior year, the underlying performance is actually quite good in the second half over the year. So I certainly wouldn't characterize the Exchange as a sunset product. It's something which we know is very important. And we're investing in it, and we'd like to continue to see that business grow. Look, in Australia, we started out as the challenger. The business has gone from strength to strength year after year. We continue to grow incredibly well. We offer brilliant experience. We've got a fantastic brand, and customers seem to continue to enjoy betting with Sportsbet. And so look, gold medals are important to us and having that sort of top position on the podium. I can't comment on what may or may not happen to the tab in Australia, but we're really pleased with the way that Australia or Sportsbet performed last year for us in 2020. I think the team did a terrific job in execution. I think to have done that integration in less than 90 days when everyone was working from home, I think, was outstanding, particularly with all the product enhancements that they delivered for the sports betting customers, the interaction and streaming of things. So look, I'm really pleased with where we are in Australia, and we're investing hard to keep that business growing. Jonathan, anything to add on any of those?
Jonathan Hill: No.
Peter Jackson: Okay. All right. Well, look, thank you very much, everybody. Unfortunately, we are sort of coming up against it now from a time perspective. Very much appreciate all your questions. Sorry, we were having to do this on the phone yet again. But at some point, we'll see you in 3D, hopefully, in the summer. Thank you all very much.
Jonathan Hill: Thanks all.
Operator: Thank you, Peter. Thank you, Jonathan. I'd like to advise, everyone, that concludes your conference call for today. You may now disconnect. Thank you for joining, and have a very good day.